Luca Pfeifer: Hello, everyone, and welcome to our third quarter 2025 results call. This event is being recorded. Our speakers today will be our CEO, Marcelo Benitez, and Bart Vanhaeren, CFO of the company. The slides for today's presentations are available on our website, along with the earnings release and our financial statements. Now please turn to Slide 2 for the safe harbor disclosure. We will be making forward-looking statements, which involve risks and uncertainties and which could have a material impact on our results. On Slide 3, we define the non-IFRS metrics that we will reference throughout this presentation. And you can find reconciliation tables in the back of our earnings release and on our website. With those disclaimers out of the way, let me turn the call over to our CEO, Marcelo Benitez.
Marcelo Benitez: Good morning, everyone, and thank you for joining us. This has been another strong quarter for Millicom. Before we begin, I want to express my heartfelt appreciation to all members of the TIGO team. Your dedication and purpose-driven execution are at the heart of these results. Once again, thank you. In the third quarter, we accelerated top line growth while maintaining strict cost discipline. This reflects the consistent execution of our double [indiscernible], delivering the best customer experience with maximum efficiency. We also advanced on our strategic agenda completing the Uruguay and Ecuador acquisition and closing the SBA tower transaction. Three milestones that strengthened both our balance sheet and regional footprint. Organically, service revenue grew 3.5% year-over-year, supported by mobile subscriber growth and ARPU expansion in prepaid. Most importantly, we remain firmly on track to deliver our $750 million equity free cash flow target for 2025. Let's now review the key milestones from the quarter. Our relentless focus on commercial execution continues to deliver solid results, both in consumer segment and in the business segments. On B2C, we added nearly 250,000 postpaid mobile customers and about 60,000 new home subscribers. In B2B, the momentum remains strong. I'll touch on that shortly. Thanks to the discipline in capital allocation and operational efficiency, we delivered record profitability. Adjusted EBITDA reached $695 million, with an all-time high 48.9% margin. This translated into equity free cash flow of $243 million. We closed the quarter with net leverage of 2.09x or 2.33x proforma excluding the infrastructure sale. We remain fully committed to maintaining leverage below 2.5x even as we integrate Ecuador and Uruguay in Q4. Let's now look at performance by segment and geography. Our mobile business delivered its strongest organic growth since 2021, with mobile service revenue up 5.5% year-over-year. Growth was driven by ARPU expansion in prepaid as we align pricing with inflation and by steady migration from prepaid to postpaid. Our postpaid base grew 14%, reaching 8.9 million customers while prepaid volumes remained stable. These results demonstrate the strength of our commercial model, focused on delivering the best network experience, focus on channel productivity, pre to post migration and fixed mobile convergence. Turning to our home business, our second largest segment. As we mentioned a moment ago, we added 60,000 new customers, up 5.4% year-over-year, supported by our convergence strategy, which bundles multiple services under one plan. This approach enhances customer value and keeps churn in the low single digits. Home service revenue was essentially flat year-over-year, a marked improvement from the nearly 5% decline a year ago. The strong foundation built in recent quarters positioned us for positive revenue growth on the next quarter. Please turn to the next slide for a review on our B2B business. Our B2B segment continues to gain momentum. Service revenue reached $231 million, up 5.3% year-on-year in constant currency. Small business clients grew 10%, totaling over 400,000. Our digital services remain a key growth engine. Revenue rose 10%, led by cloud, cybersecurity and SD-WAN growing around 35% year-over-year. In short, B2B is scaling profitable and remains a compelling growth platform for Millicom. Let's now review our performance in our largest market in Colombia. Colombia delivered another strong quarter. Postpaid customers rose 12% year-over-year, while prepaid also grew. In Home, customers increased 12%, reaching 1.6 million HFC and FTTH connection driving Home service revenues up 5.7%, a full turnaround from 2022. Overall, service revenue grew 6.5% and EBITDA margins expanded 447 basis points to 43.5%. This demonstrates how profitable growth is now firmly embedded in our Colombia business. Turning to Guatemala, we continue to perform exceptionally well. Guatemala continues to set the bar for operational excellence. Postpaid customers grew 20%, driving mobile service revenues up 4.6%. Exceptional efficiency led to operating cash flow growth of 22% year-on-year, reaching a record of $204 million, a remarkable achievement. Please turn to the next slide to look at Panama. In Panama, postpaid customers grew 15%, supporting 7.1% mobile service revenue growth. We achieved our record EBITDA margin of 52.2%, underscoring Panama's position as one of our most efficient operations. Let's now turn to Slide 12. We are very proud to have completed acquisitions of Uruguay and Ecuador. Two countries that share our purpose of connecting people and driving digital progress across Latin America. These acquisitions broaden our footprint to 11 countries and enhance earnings quality through greater scale and macroeconomic stability. Uruguay adds 700 cell sites, 33% market share and $246 million in annual revenues, with $93 million of adjusted EBITDA. Ecuador brings approximately 2,500 cell sites, 30% market share generating almost $490 million in revenues and $161 million in adjusted EBITDA. With these two additions, we integrate an investment-grade country and a dollarized economy into our portfolio, enhancing stable cash generation and unlocking meaningful synergies through original scale. We're energized by these opportunities. They strengthened our position as the leading pure play telecom operator in Latin America. Before we move on to the financials, I'd like to take a few minutes to update you on where we stand with our strategic projects and legal matters. First, as we shared last quarter, we've now completed the sale of our tower companies in El Salvador and Honduras. The Lati tower transaction totaled about $975 million marking a successful conclusion of our infrastructure monetization plan. With this, we've achieved what we set out to do, unlock value for our stakeholders and stay fully focused on what we do best, delivering connectivity. Turning on Costa Rica, I am pleased to share that we've settled our long-standing litigation with Telefonica. This was related to the 2020 acquisition attempt. This brings important closure and allows us to move forward with clarity and focus. Separately, the Costa Rica regulator has decided to prohibit our proposed combination with Liberty Latin America that we announced on August 1, 2024. Sutel is concluding that the potential competitive effects could not be adequately mitigated by the remedies proposed by the parties or by any additional conditions that Sutel could impose. This decision was unexpected as both parties have engaged extensively with Sutel throughout the review of the process to develop a set of commitments that we firmly believe addressed any potential concerns. We respectfully disagree with this decision. And for this reason, we have filed a formal appeal on October 22, and we'll continue to pursue all available options. We remain confident that the transaction will deliver meaningful benefits to customers, enhance competition and contribute positively to Costa Rica's digital development. Now regarding the ongoing DOJ investigation, we recorded a $118 million provision this quarter. That figure reflects our current expectation of the financial impact of resolving the matter. Because the process is still ongoing, we cannot comment further at this stage, but we expect to share more details shortly. Finally, let me touch on Colombia, where things are moving steady on both fronts, EPM on one hand has officially launched the privatization process for its stake in TIGO-UNE under Law 226 and everything is progressing as expected. At the same time, the regulatory process for the Coltel acquisition is advancing well. We are now waiting for a minimum price disclosure for the stake held La Nacion and we continue to expect both EPM and Telefonica transactions to close in the first quarter of 2026. With that, I will now hand it over to Bart, who will walk you through the financials in more detail.
Bart Vanhaeren: Thank you, Marcelo. Let's now turn to our financial performance for the quarter, starting on Slide 15. Service revenue for the quarter totaled $1.34 billion, representing a year-over-year decline of 0.5%. This was no surprise considering the application of IAS 21 for Bolivia, which this quarter negatively impacted service revenues by $74 million compared to last year. When excluding the FX impact, underlying service revenue growth actually accelerated from 2.4% year-on-year growth in Q2 to 3.5% year-on-year growth in Q3, reflecting the continued momentum of our commercial initiatives and strong operational execution across our markets. We also continued to deliver solid results in our prepaid to postpaid conversion strategy, resulting in local currency, double-digit postpaid growth numbers while prepaid revenues continued to grow by low single digits year-over-year in local currency, supported by a stable prepaid customer base. This growth reflects our ability to attract new clients and broaden the top of the funnel, reinforcing the strength of our commercial engine. Importantly, we delivered another quarter of margin expansion with organic adjusted EBITDA increasing by 23.8% year-over-year to reach a record $695 million. It's worth noting that the year-over-year increase in adjusted EBITDA was influenced by a onetime restructuring and M&A charges in 2024. When normalizing for this effect, adjusted EBITDA still grew by 10% year-over-year. This increase translates into an adjusted EBITDA margin of 48.9%, another all-time high for the company. As Marcelo highlighted earlier, accelerating top line growth while maintaining cost discipline remains a core pillar of our strategy. Finally, equity free cash flow rose by 18.1% for the last 9 months when compared to the same period last year, reaching a total of $638 million, marking yet another milestone for the company. Next, I would like to walk you through our performance by region, starting on Slide 16. In Guatemala, local currency service revenue grew 3.6% year-over-year, reaching $366 million for the quarter. This solid performance represents a significant improvement over last year's top line growth driven primarily by our mobile strategy, which focused on effective customer base management and increasing ARPU through the successful migration from prepaid to postpaid plans. Colombia delivered another strong quarter, with service revenue expanding 6.5% year-over-year to $364 million, almost surpassing Guatemala for the first time in our corporate history. This growth was fueled by an expanding customer base, particularly in postpaid, robust performance in B2B and a material turnaround in our home business, supported by intensified commercial efforts aligned with our strategic priorities. In Panama, service revenue remained largely flat year-over-year at $170 million. When compared to Q3 2024, we added nearly 65,000 postpaid subscribers to our customer base. These gains were partially offset by a decline in B2B revenue, stemming from government contracts, which were executed earlier in 2024. In Paraguay, we achieved $143 million in service revenue, increasing 3.5% year-on-year. This solid growth was mainly achieved through expansion in both our prepaid and postpaid customer base and relatively stable ARPUs. In Bolivia, service revenue in constant currency accelerated to 6.1% year-over-year, reaching $84 million for the quarter. And for the first time since the onset of the devaluation, we recorded a quarter-over-quarter increase in service revenue. We remain cautiously optimistic about continued currency stabilization. Service revenue in other markets increased 1.4% year-over-year, reaching $217 million for the quarter as robust top line growth in El Salvador and Nicaragua was partially offset by soft results in Costa Rica. As mentioned in my introduction, we're very pleased with the overall profitability achieved during the quarter with adjusted EBITDA for the group reaching a record margin of 48.9% as shown on the Slide 17. All of our largest operations delivered year-over-year margin expansion. Let's now review the performance of each country in more detail. Starting with Guatemala, adjusted EBITDA grew 6.2% year-over-year, reaching $236 million for the quarter. This strong result was driven by a combination of service revenue growth and operational efficiencies. As a result, Guatemala reported a record adjusted EBITDA margin of 56.6%, up 147 basis points compared to the same period last year. In Colombia, adjusted EBITDA increased 17.3% year-over-year to $161 million. This performance reflects the robust top line growth discussed earlier, coupled with disciplined OpEx management. It's worth noting that last year's EBITDA was impacted by approximately $5 million in severance payments. I want to take the opportunity to congratulate our team in Colombia for their tireless efforts and outstanding results. Panama delivered a 10.4% year-over-year increase in adjusted EBITDA, reaching $93 million, driven by cost savings from efficiency programs. As a result, adjusted EBITDA margin expanded by 480 basis points, reaching a record 52.2%. Paraguay also expanded its profitability when compared to the same period last year. The team achieved an 11.8% year-over-year increase, reaching a total of $76 million for the quarter with adjusted EBITDA margins expanding to 51.4%, reflecting continued operational discipline and growth in our customer base. In Bolivia, adjusted EBITDA increased 21.8% on a constant currency basis year-over-year to $42 million for the quarter. The margin expanded by 649 basis points to 49.7%, primarily thanks to our ongoing focus on cost efficiencies and dedollarization efforts. Finally, adjusted EBITDA in our other segments which include El Salvador, Nicaragua and Costa Rica increased 7.7% to $108 million as we continue to deliver operating leverage across all 3 countries. As a reminder, we have here Nicaragua and Honduras with margins above 50%, making a total of 5 countries out of 9 with margins above 50% and Bolivia actually getting very close. Let's now turn to Slide 18 for a review of our equity free cash flow. In the third quarter of 2025, equity free cash flow totaled $243 million to reach $638 million over the last 9 months, representing an increase of 18.1% year-on-year. Now when comparing to the same quarter last year, we see a $28 million decrease, which is primarily attributable to a mix of strategic investments and timing-related factors as we are trying to stabilize equity free cash flow over all quarters. Positive contributors were adjusted EBITDA was up $110 million year-over-year, in line with our increased profitability and $73 million one-off impact in 2024 mainly related to restructuring and M&A costs. Finance charges improved by $10 million, thanks to lower debt levels, favorable FX movements and reduced commissions on U.S. dollar purchases in Bolivia. Offsetting these gains were the following detractors. Cash CapEx increased by $50 million, mainly due to changes in working capital. Trade working capital and others decreased $66 million mainly due to the aforementioned litigation settlement with Telefonica related to the 2020 Costa Rica acquisition attempt as well as timing of payables. Spectrum payments were up $12 million, reflecting the phasing of coverage obligations in Colombia and taxes paid increased $10 million, primarily due to the higher profitability. Now please turn to Slide 19 for a more comprehensive view of our deleveraging during the quarter. We reduced our leverage from 2.18x to 2.09x, a solid improvement of 9 points quarter-over-quarter. This was primarily driven by our strong equity free cash flow generation of $243 million, as just discussed. On the other hand, we paid $125 million dividend in line with our approved dividend policy and recorded $80 million in exchange rate impacts due to the appreciation of our local currency debt. These items together added approximately 0.1x to our leverage. Overall, the quarter reflects disciplined capital allocation and continued progress toward our long-term balance sheet objectives. Before reviewing our financial targets, I wanted to highlight that we have finalized the Lati business divestment announced in October 2024. As a reminder, the total consideration for the Lati divestment was approximately $975 million. Let's now review our financial targets for the year. We're very pleased with our performance year-to-date and remain on track to meet our year-end leverage target of below 2.5x as well as our equity free cash flow goal of around $750 million. As a reminder, this leverage target excludes the impact of any strategic M&A transactions executed during 2025. I'd also like to emphasize that we are maintaining our free cash flow target despite the adverse effects of the currency devaluation in Bolivia, as well as the one-off legal settlements discussed. We're excited about what lies ahead and remain fully committed to delivering continued top line growth and sustainable margin expansion. With that, let me turn the call back to Luca.
Luca Pfeifer: We'll now begin with a question-and-answer session. As a reminder, if you would like to ask a question, please let us know by e-mailing us at investors@millicom.com and we will add you to the queue. Our first question comes from [indiscernible] HSBC. What is the Ecuador and Uruguay transactions leverage? Where do you expect to be at the end of the year? What is the net impact from these transactions in year's cashflow?
Bart Vanhaeren: Yes. Good question. So our leverage now is 2.09x. If you would normalize for the tower transaction, that would have been 2.33x. Now, so 2.09x, we closed Uruguay that adds about 0.1x. We closed Ecuador at about 0.1x as well. So pro forma, we are close to 2.3x as of Q3, if you would normalize for the tower transactions.
Luca Pfeifer: Thank you. In Ecuador, there was a spectrum renewal news. Would the burden of payment fall on Millicom?
Bart Vanhaeren: So we have -- there are 2 parts of the spectrum renewal. In fact, one is a license renewal, which comes with all the spectrum that was attached to the original license that was approximately $115 million that has been paid by Telefonica as a condition precedent to closing of the transaction. However, there is an upcoming 5G auction that will come probably in the beginning of next year, end of this year, and we expect mid- to mid-high double-digit million dollar spectrum charges payable somewhere in the first half of 2026.
Marcelo Benitez: And important to say that this was a prerequisite to close the transaction. And with this renewal and also the availability of the 5G spectrum in Q1 strengthened our position to first focus on strengthen the network as it is the priority in our playbook. So we are very pleased to have enough spectrum to start operating in Ecuador.
Luca Pfeifer: Thank you. Could you please provide more details on the DOJ provision? What is the issue related to? And when can we expect there to be a resolution?
Marcelo Benitez: Well, there is no much to say more than what we already said in the call. Basically, we are in the process with the DOJ with regards of the litigation. The provisions that we printed this quarter is what we expect is going to be the outcome. And as I said, we will come back with more details shortly.
Luca Pfeifer: Perfect. What is driving the higher tax provision in Nicaragua?
Bart Vanhaeren: So in Nicaragua, we had tax litigation ongoing. We have been, like many other legacy liabilities, we have used this quarter to clean up and close a lot of matters, not different in Nicaragua. We settled with the administration on the payments of the delta of what we settled with and what is already paid and provisioned is that increase. That payment will come partially in Q4, partially in Q1 to -- for the finalization of the settlement.
Luca Pfeifer: Perfect. Marcelo, what is the future course of action in Costa Rica and if the appeal for the regulatory decision gets rejected?
Marcelo Benitez: Yes. Starting on Costa Rica, we really believe that this merger was very, very good for the country and for the industry. Costa Rica, it's a very stable economy, has a very predictable macro. But more importantly, they do have a lot of appetite for digital infrastructure. That is at the core of what the country needs. And in order to have that, Costa Rica needs to have strong operators. That's why we propose to merge on a JV with Liberty in Costa Rica. Unfortunately, the decision of the Sutel was against this merge. We are appealing that with the arguments that I already said, this is good for Costa Rica. Having said that, we need to also focus on what is under our control. And what is under our control is to go back to our operating model more focused on the commercial grid that we have in other countries. We are going to invest again reinforce our infrastructure and then also reinforce our channels and bring that operation back to growth with strong focus as we have in all the other operations in cost efficiencies. So that is what's under our control, and that is where the focus is going to be expecting, of course, a more better news from the Sutel.
Luca Pfeifer: Next on the line is Livea Mizobata from JPMorgan.
Livea Mizobata: I have a couple. The first one, could you provide an outlook for CapEx for 2026? How are you seeing this line behaving on the next year? And the second one, we would like to explore a little bit more the margin expansion across the board. We are seeing several countries expanding a lot of margins this year, particularly this quarter. Is this still mostly related to your efficiency program? Or are there more initiatives that we should be seeing that will continue to impact your margins going forward? Specifically, I would like to touch on Colombia because we see an impressive margin gain there. So do you see eventually room for Colombia to join its 50 clubs that you talked so much? So like could we see the Colombia market also raising margins and reaching that level? Because we saw an impressive market there -- market improvement there, right?
Marcelo Benitez: Thank you, Livea, for your question. I mean the 50 club, it's ready to receive more members. It's a club where you can get in and you can never get out. So I will start with Colombia. What happened in Colombia is purely organic. We accelerate the top line growth. The direct cost had a decrease quarter-on-quarter based on our efficiency initiatives. So that brings operating leverage at the gross margin level. And additionally to that, we kept the OpEx flat, even though we are investing a lot in commercial activities to fuel growth. So that's where the profitability is coming is mainly operating leverage if you talk about organic terms. But if you go on dollar terms, also you have some points of growth coming from the currency -- the strengthen of the Colombian pesos currency. When we look at the group level, it's a little bit of a different story. It's a mix between organic growth that is more or less very similar to Colombia's operating leverage, but we do have some one-offs around $70 million year-over-year that had to do with severance and M&A costs that we had last year and we don't have this year. On CapEx, we -- when we started this new journey of efficiency, we always said that we invest with a lot of granularity. So we look at where the demand is. That's how we came from $1 billion CapEx to a $700 million CapEx. So we are very comfortable with that envelope because this model is refining as we speak. So we have a very, very strong network performance with a lower cost. So our expectation is to maintain the envelope at around $700 million.
Luca Pfeifer: Our next question comes from Eduardo Nieto from JPMorgan.
Eduardo Nieto Leal: So I had one around your leverage but more so looking further just because now you have more clarity on the closing of some of the acquisitions and including the one in Colombia. So just wanted to get your thoughts on where leverage should peak also considering your dividends, your potential settlements of legal matters. Just thinking where you're comfortable to get in terms of net leverage? And then a second part of that question is in terms of your debt or your financing needs, right? You have some maturities, especially in 2027, more in 2028, you have more M&A to close next year. So just wondering what you see as financing needs and what that could look like in terms of international capital markets, if you see a potential to change the mix between HoldCo debt, OpCo debt. And just any color that you can share on that, please?
Bart Vanhaeren: Thank you, Eduardo. So on the leverage 2.09, I think we mentioned already Uruguay and Ecuador each had about 0.1 to the leverage. So around we get to 2.3x. EPM would add another 0.20 in between 0.20 and 0.25. So with that, we get close to the 2.5. And then Coltel will get possibly above that, depending, obviously, on how EBITDA evolves, our cash flow evolves, et cetera. If that happens, we do believe that depending on the speed of our integration cost that we would reduce that pretty quickly below the 2.5x again. On the debt side, we still have more than $900 million cash on balance sheet today. So for the immediate upcoming payments, we do have the liquidity. We will do some tactical debt issuance, mostly focused on local currency debt as we like it. Today, we have 50% of our debt in local currency. And we're continuing to look for opportunities. I can already tell you, we raised $200 million in local currency in Uruguay. That's probably the largest corporate debt issuance in Uruguay. And we've been welcomed fantastically by everybody down there. Next year, we will look at, again, at liability management, cleaning up some earlier maturities possibly and look at our debt curve. This year, we really wanted to focus on cleaning a number of things up, closing the transactions, getting the -- see what we receive in terms of debt structure. And next year, we'll start to look back at a regular liability management.
Eduardo Nieto Leal: Just one quick follow-up. Are you comfortable, I guess, with the mix between the amount of debt that you carry at the HoldCo versus the OpCos that mix that you have today?
Bart Vanhaeren: Yes, we have 40% of our debt as of Q3 balance sheet date in HQ. As I said, we are already raising $200 million additionally in Uruguay that was post the Q3 closing. And we have a few others in the pipeline to continue to increase. I'm comfortable where we are. But as a strategy, I want to have a maximum of local currency unless it's prohibitively expensive. So that's how we look at that.
Luca Pfeifer: Next question comes from Gustavo Farias from UBS.
Gustavo Farias: Two questions on my end. So the first one, if you could give us any color on the new countries you just entered Uruguay and Ecuador, how are you looking at extracting those synergies from the operations, maybe any color on what would be the main drivers to drive margins up? The second question, last quarter, you commented about a trend of price increases across countries mostly driven by postpaid migration. So if you could give us an update on how that's evolving lately?
Marcelo Benitez: So thanks, Gustavo, for your question. I mean these are 2 very different countries. In the case of Uruguay. Uruguay is a very developed country with high consumption per user. A lot of data demand, very much postpaid. So there are 3 operators there. As you know, you have the state-owned operator, then you have Claro -- us and then Claro. So first, the network in Uruguay is pretty strong. So we are going to focus on developing ARPU as we did in the other countries by focusing on prepaid to postpaid with a small prepaid base. We want to expand the prepaid base a little bit and also play into the devices field because that's where the demand is in Uruguay. They have a lot of appetite for very high-performance handsets. Having said that, in parallel, and that is the first chapter of our playbook is efficiencies. So we are going to implement what we have implemented in all the countries, the purchase order controls from $0, contract renegotiations and also focused operation on what we do best, deliver the best connectivity. So the same playbook applies to Ecuador, but the environment in Ecuador is different. There, we do need to invest in network quality and network expansion. As I said, this spectrum renewal and the new acquisition of Spectrum give us a good new spectrum in 700 that it's going to immediately affect positively on the quality of our network. But we need to expand also the coverage, especially in Guayaquil and the coast, where more than 50% of the people live. So that is the strategy. It's the same playbook, but there is some prework to do in Ecuador, in network, in strengthening the network, and it's more commercial in Uruguay. I hope this answers your question, Gustavo.
Luca Pfeifer: The next question comes from Andres Coello from Scotiabank. Can you comment on why you did not participate in the spectrum auction in Paraguay and comment on the competitive environment as new entrants is expected to launch 5G coverage soon. And in addition, can you provide an update on the closing of the deal in Colombia?
Marcelo Benitez: I will take the first one, you take the second. So in Paraguay, basically, the conditions were not there for us to participate in the spectrum -- in the spectrum tender. We do -- we have a very, very good relationship with the regulator. There is now a bit of a process on whether the new acquirer can keep the spectrum. We respect that process and we trust the regulator that the regulator is going to do the right thing. Having said that, there are other segments that are available. So we are working with the government segments in 2.6 and also in 700 megahertz. So we're working to get that spectrum for 5G. There is no way TIGO will not have 5G in Paraguay, and that is clear for us, and it's clear for the government as well. So on the new entrant, we do believe that to become a real player from scratch in a country like Paraguay, you need more than spectrum. And we -- as we welcome always competition, right, only with 5G is very, very difficult to have a full telco and not even talk about convergence play. So we don't see at this point of time any threat for any serious competitor in a new competitor in Paraguay.
Bart Vanhaeren: And as well as with a limited availability or percentage of 5G-capable phones over the total number of phones in the country. Going to the question about the closings in Colombia. As you know, there's multiple transactions in one. So let me peel the onion. So on one side, we have the transaction with EPM, our partner in our existing operation. They have disclosed the minimum price. We made some communications around that earlier in Q2 that we would participate in the auction process. There's --it's a privatization law called Law 226, 2 phases. Phase 1 is now ongoing. This is where the shares are offered to Sector Solidario, think about employees pension funds. That's a process that takes 2 months. It will be done early December, after which there will be an auction organized and that process takes less than a month. So this is well on track to close around year-end, early Q1. Then we have, on the other side, the deal with Telefonica is done, signed and has a number of conditions precedent for closing, which is merger approval. That merger approval is ongoing. We're having constructive discussions with the regulator and expect to have a resolution in Q4 about the merger. And then the second condition, precedent is also to have a deal with La Nacion, who is a third shareholder of Coltel. And we expect, as we hear, they are getting to the end of their process, establishing the minimum price with similar that EPM had earlier in the year. And then they can launch Phase 1 of the Law 226 process immediately behind us. So that's a 2.5 month to 3-month process once they launch the Law 226 process. And there again, we are expecting everything works out that we could close both transactions in Q1, knock on wood, let's see how it goes.
Luca Pfeifer: Excellent. Thank you, Bart. Our next question comes from David Lopes from New Street Research.
David-Mickael Lopes: Congratulation for the quarter. Most of my questions have been answered actually, but maybe just a couple of follow-ups. On the Costa Rica deal, I was wondering if you could comment a bit on the remedies. Why were they not enough? And why were they? And do you have any idea how long the appeal process takes usually I guess, pretty hard to answer if you have any idea of view. And then you mentioned about the spectrum in Ecuador. And I was wondering what are the other auctions coming in the future in the rest of the portfolio? And maybe last question on competition in Guatemala -- and you're posting good numbers. And I thought a few quarters ago, there was a bit more competition from Claro. So again, your numbers are good. So I was wondering how has competition evolved in Guatemala?
Marcelo Benitez: So on remedies on Costa Rica, it was a surprise, David, for us to hear the argument from Sutel on why the remedies were not enough. We have been very proactive and very diligent also not only with Liberty, but also working with external consultants and experts on the matter. We did not see any rational argument to say that there is no remedies that can really make this transaction to happen. It's some kind of unprecedent to say that there is no way that this is going to happen but we do respect the regulator, and we do respect the formal channels, and that's why we are appealing. And we hope that the Sutel will reconsider its position. With regards to spectrum, now the -- well, you have first the renewal that was done. So that is one block of spectrum, then you have the 5G spectrum that's going to happen now in Q1. So that's, I think, about it for the short term, but it's more than enough to, one, strengthen our existing infrastructure, mainly with 700 megahertz, that is the new spectrum that we're going to bring in. And also to start developing the 5G coverage where the handset availability is there, right? So, I think that is extremely positive and on a very good timing for us. With respect to Guatemala, we are fighting point of sale by point of sale as we do with infra CapEx investment and capital allocation. We also are very, very granular on how we fight in the commercial. Remember that Guatemala is a purely prepaid market. So the war is being done in the point of sale every day. So where we were attacked at the beginning of the year. And it was very natural and predictable that this was going to happen was where Claro started to build new coverage, and we had very high market share, for example, in Quetzaltenango. So what the reaction we did was not a mainstream reaction because that was not necessary, but specifically in the regions where we were attacked. So this is working. It's a combination of working with the point of sale, strengthening the channels, strengthening a little bit the offer and also improving the network that is at the core of the consumer experience. So that's what we did in Guatemala. And now we are coming into a more stable place with the results and with the numbers.
Luca Pfeifer: Thank you very much, everyone. This concludes our question-and-answer sessions. We will reconnect with you and the market for our fourth quarter results on February 26. Thank you very much.
Marcelo Benitez: Thank you.
Bart Vanhaeren: Thank you.